Operator: Good morning. I would like to turn the call over to Bob Marshall, Vice President, Investor Relations and Treasurer. Mr. Marshall, you may begin your call.
Robert Marshall: Thank you. Good morning, and welcome to Zimmer's Second Quarter 2011 Earnings Conference Call. I'm here with our President and CEO, David Dvorak; and our Executive Vice President and CFO, Jim Crines. Before we start, I would like to remind you that statements made during this call that are not historical may be deemed forward-looking statements. Actual results may differ materially from those indicated by forward-looking statements due to a variety of risks and uncertainties. Please refer to our filings with the Securities and Exchange Commission for a detailed discussion of these risks and uncertainties. Also, the discussion during this call will include certain non-GAAP financial measures. Reconciliations of these measures to the most directly comparable GAAP financial measures are included within the earnings release that was furnished in this morning's current report on Form 8-K. This information is also available on our website, www.zimmer.com, in the Investor Relations section. With that, I'll now turn the call over to David Dvorak. David?
David Dvorak: Thank you, Bob. Good morning, everyone, and welcome to our earnings call for the second quarter of 2011. This morning, I'll review our second quarter financial results, providing commentary on the year's progress to date and highlights from our performance. Jim will then provide additional financial details. As in previous quarters, I'll state all sales in constant-currency terms, and I'll discuss all earnings results on an adjusted basis. Zimmer delivered a solid performance in the second quarter. These results were achieved amidst ongoing challenging global economic conditions and reflect the benefits of recent product introductions across our portfolio. Consolidated net sales for the quarter were $1.14 billion, an increase of 2.1%. And our earnings per share were $1.21, an increase of 11% over the prior year period. Impressive performances in our Europe, Middle East and Africa and Asia-Pacific geographic segments supported Zimmer's consolidated results in the second quarter. Compared to prior year, Americas decreased 0.5% while Europe, Middle East and Africa delivered growth of 5.3%, which we believe to be substantially above the market, and Asia-Pacific recorded sales growth of 6.2%. The continued strong performances of our international segments reinforce the positive impact of investments we've made to improve sales execution in established markets, as well as to strengthen our presence in a number of key emerging markets, which provide significant long-term opportunities for growth. This promise is currently being realized in China, where our Legacy and Montagne businesses continue to perform well. We'll continue to invest in emerging markets, including a strong focus on medical education offerings to help train physicians to meet the demands of a growing patient population. In the quarter, Zimmer continued to deliver against our financial commitments and targets. I'm pleased the progress in our business transformation initiatives has enabled us to allocate incremental resources to growth drivers, including marketing and selling investments in support of new product introductions. Ongoing investments in our sales channels in a number of markets contributed to an above-market performance in these regions. In particular, we've seen the benefits of scale and key markets, where Zimmer's service capabilities and broad portfolio of new and established clinically successful technologies have enabled us to secure significant tenders that support continued growth. Turning to the results of our product categories, Knees sales for the second quarter decreased year-over-year 0.8%, reflecting positive volume and mix of 0.8% and negative price of 1.6%. Our Knee franchise continues to perform consistent with the challenging market in the United States. Increased utilization of PRI and PSI instruments, as well as recent product introductions, including Trabecular Metal augment shapes and cones for revision surgery, contributed solid sales in the quarter. Outside of the United States the Knee business demonstrated improvement, including growth of 8.8% in Europe, Middle East and Africa compared with the prior year period, which is the highest publicly reported growth rate to date for the region in this quarter. In the EMEA segment, we were successful in securing large tenders in the quarter, which leveraged a long-term track record of clinical success of our NexGen knee System. Hips sales in the second quarter increased 1.8%, reflecting positive volume and mix of 3.6% and negative price of 1.8%. Our Hip business continues to benefit from recently introduced customizable product lines, including the Continuum Acetabular System and the M/L Taper stem with Kinectiv Technology. In the second quarter, we also launched several exciting new additions to our European hip portfolio at the EFORT Congress in Copenhagen. The new Maxera Cup is a large diameter head ceramic-on-ceramic system that we believe will appeal to surgeons for their younger and more active patients. Building on the long-term clinical success of our CLS Spotorno stem, we introduced the CLS Brevius stem in Europe. These stem features a shorter MIS-friendly design that incorporates our Kinectiv Technology, enabling surgeons to interoperatively address leg length and offset through modular neck options. In the second quarter, Extremities sales increased 3.6%. Sales of Trabecular Metal products in this franchise continued to be strong. To return to accelerated growth in this category, we're in the process of introducing several products and instruments, including our new anatomical shoulder combined adapters. Our Dental business again outperformed the market in the second quarter, with sales growth of 15.5%, comprising organic growth of 8.8%, as well as the contribution of the existing Puros and CopiOs allograph products distribution arrangement. The impressive performance of our Dental franchise over the last several quarters reflects the impact of a steady new product cadence in our regenerative portfolio, supported by focused sales execution. This quarter, we announced the introduction of Zimmer curved preshaped collagen membrane, a unique resolvable collagen product that is designed to create an oral environment more suitable for implant placement. The company also recently announced an exciting strategic arrangement to provide Zfx digital dentistry solutions, which allows Zimmer Dental to enter the CAD/CAM crown and bridge market. Under the agreement, Zimmer Dental will distribute Zfx open platform laboratory scanners, CAD software and custom-milled components. We again delivered above-market sales growth in all geographic segments for our Trauma business in the quarter, with sales increasing 13.6% over the prior year period. The Zimmer Natural Nail family, and particularly the cephalomedullary nail, continues to be a real growth driver as customers learn about its differentiated features, including a unique anatomical design. We also continue to benefit from increased sales of the NCB Periprosthetic plating system for complex fractures. Success of above-market growth in our Trauma business over the last 2 quarters reinforces the positive impact of our accelerated investments in new product development and sales programs. Zimmer Spine business reported a sales decrease of 6.3% in the quarter. In the United States, reimbursement and pricing challenges continue to impact the spine market. However, recent product introductions are anticipated to contribute to improve performance in the second half of this year, with positive sales contributions from the recently introduced PathFinder NXT percutaneous MIS pedicle screw system and TM-S Trabecular Metal Cervical Interbody Fusion Device. Zimmer Surgical, another business category, again delivered above market sales growth of 7.7% over the prior year period. Zimmer's the market leader in tourniquet products, and we continue to gain share in a number of other categories within our expanding surgical portfolio. In the quarter, we introduced the REX stop bone cement restrictor, and the MIXIGUN single-step bone cement mixing and dispensing system for the European market. We continue to make progress increasing the production capacity for our recently acquired Zimmer surgical power equipment line, which will strengthen our position in this growing market segment. I'll now provide some commentary on the musculoskeletal market more broadly. Global economic conditions continue to impact procedural volumes. Recent economic data, including lowered consumer confidence and continued high-employment rates, are reflected in sustained rates of procedure deferrals above what would be considered normal. The patient pool with access to joint-replacement procedures remains artificially reduced as a result of the economic recession particularly in the United States, where unemployment levels are linked to lower enrollment in private health insurance plans. As global governments work their way back to sustained economic growth, we would anticipate a recovery in procedure volumes toward more normal levels. With regard to pricing, Zimmer experienced price pressure of negative 0.9% in the second quarter, in line with our expectations. We believe this is indicative of consistent trends, and we now expect full year pricing to remain at or near negative 1%. Results across the company's product franchises reinforce our belief that clinically relevant and innovative product development will continue to command premium pricing that can mitigate price compression. This analysis is supported by the sales contributions of products that leverage our proprietary technologies, including Trabecular Metal Technology, which has demonstrated more than 13 years of clinically proven performance. Across our portfolio, products incorporating Trabecular Metal Technology continue to provide sustained sales and price premiums. Through the first half of 2011 and in keeping with our strategic agenda, investments in product innovation and sales programs were facilitated by the benefits of our ongoing transformation initiatives. These initiatives are enabling us to fund programs to accelerate growth, while delivering continued value to our stockholders through industry-leading operating margins and disciplined capital deployment. I'll now ask Jim to provide further details on the second quarter and our guidance. Jim?
James Crines: Thanks, David. I'll now review our second quarter performance in more detail before providing an update regarding our third quarter and full year 2011 guidance. Zimmer's total revenues for the second quarter were $1,137,000,000, a 2.1% constant currency increase compared with the second quarter of 2010. Net currency impact for the quarter was positive, increasing revenues by an additional 5.4% or $57.3 million. This included favorable currency contributions from our euro, Japanese Yen, Australian dollar, Swiss franc and Canadian dollar denominated revenues. For the quarter, our adjusted gross profit margin was 75%. The margin ratio declined 130 basis points compared to the second quarter of 2010. This reduction was primarily a result of 180 basis points of headwind related to hedge losses, partially offset by lower obsolescence charges in the quarter. The company's R&D expense constituted 5% of sales in the quarter, which represented a 5% increase when compared to the prior year, accelerated product innovation essential to our growth strategy and we expect R&D expenses to grow either in line with or ahead of sales growth as we expand product development and clinical programs. Selling, general and administrative expenses were $470 million in the second quarter, an increase of 7.2% on a reported basis. At 41.3% of sales, SG&A expenses were 10 basis points below prior year. For the quarter, savings from our transformation initiatives were offset by increased spending on our sales channels in a number of key markets, investing in new sales tools and increased cost for local advertising and recruiting. SG&A as a percentage of sales is now expected to be approximately 41% for the full year, as our outlook is updated to reflect our ongoing strategic investments in our global sales channels and field market activities, as well as a higher mix of revenues from overseas markets. We expect SG&A expense to increase to around 43% of sales in the third quarter, due principally to seasonality. Consistent with prior years, slower procedure volumes related to summer holidays results in a higher expense ratio in the third quarter. In the second quarter, the company recorded an additional $50 million provision for known and anticipated worldwide claims related to the past voluntary suspension of marketing and distribution of the Durom Acetabular Component in the United States. Special items accounted for $13.5 million in the quarter, the majority of these costs related to our global transformation and restructuring program, including severance and other employee termination-related costs. Integration costs associated with the Beijing Montagne Medical Device Co., SoPlus power equipment, and Zfx digital dentistry solutions transactions also were incurred during the quarter, along with forward integration costs for third-party distributors in the Europe, Middle East and Africa segment. This included $3.4 million of inventory step-up related charges in cost of goods sold. Adjusted operating profit in the quarter increased to $326 million, representing a profit margin ratio of 28.7%. This ratio is 110 basis points lower than the prior year second quarter, reflecting a lower gross margin ratio due to hedge losses, partially offset by a reduction in our total operating expense ratio for the second quarter. Net interest expense for the quarter totaled $9.8 million compared to $14.3 million in the second quarter of 2010. This change is primarily due to having swapped a portion of our fixed-rate debt to a floating rate. Adjusted net earnings were $233 million for the second quarter, an increase of 5.1% compared to the prior year. Adjusted diluted earnings per share increased 11% to $1.21 on $192.7 million average outstanding diluted shares. These adjusted earnings per share are inclusive of approximately $0.06 of share-based compensation. At $1.06, reported diluted earnings per share increased 29.3% for the prior-year second quarter reported EPS of $0.82. Reported diluted earnings per share for the second quarter include: Inventory step-up in special items charges and also reflect favorable tax adjustments related to resolution of certain tax matters pertaining to prior period filings. Our adjusted effective tax rate for the second quarter was 26.5%, which is slightly below our full year guidance and represents an increase of 10 basis points from the second quarter of 2010. Our reported effective tax rate for the quarter was 18.2%, including the favorable adjustment pertaining to prior year period tax filings. During the quarter, we repurchased 1.8 million shares at a total purchase price of $121 million. Year to date, we have now executed more than 70% of our intended repurchasing plan for 2011. This demonstrates our commitment to return value to our stockholders through disciplined use of capital. As of June 30, 2011, approximately $849 million remained authorized under a $1.5 billion repurchase program, which expires at the end of 2013. The company had approximately 190 million shares of common stock outstanding as of June 30, 2011, down from $201 million as of June 30, 2010. Operating cash flow for the quarter amounted to $251 million, down 8% from $273 million in the second quarter of 2010. The decrease in operating cash flow compared to the prior year was a result of a planned increase in accounts receivable of 7 days, as we discontinued factoring in certain European markets. Net receivables increased to $888 million from $765 million in 2010 or 16% over the prior year period. Inventories increased slightly in the second quarter of 2011, while adjusted inventory days on hand finished the quarter at 307 days, a decrease of 11 days from the second quarter of 2010 and a decrease of 5 days from the first quarter of 2011. Depreciation and amortization expense for the second quarter amounted to $89 million. Free cash flow in the second quarter was $195 million, $19 million lower than the second quarter of 2010. We define free cash flow as operating cash flow less cash outflows for instruments and property plant and equipment. This change in free cash flow has principally resulted in the increase in accounts receivable as noted earlier. Capital expenditures for the quarter totaled $56 million, including $39 million for instruments and $17 million for property plants and equipments. Cash outlays associated with investing activities during the quarter include $13 million for product distribution agreements and certain international distributor acquisitions. I'll now provide an update to our guidance for the third quarter and full year 2011. In our earnings release this morning, we announced that the company is updating its full year sales and adjusted EPS guidance, narrowing our prior adjusted EPS guidance for the top end of the range. We now expect full year revenues to increase between 2.5% and 3.5% in constant currency when compared to 2010. In the second half, we anticipate a modest improvement in market growth against easing comps. Assuming currency rates remain at current levels, we anticipate foreign currency translation will increase our reported 2011 revenues by an estimated 3%. On a reported basis, our revenues are now projected to be between 5.5% and 6.5% above 2010 results. We expect our gross margin ratio for the third quarter to be in line with our full year guidance of approximately 75%. Hedge losses, as compared with prior year hedge gains, are expected to negatively impact third quarter 2011 gross margins by 110 basis points. Taking seasonal revenue and expense patterns into account, diluted earnings per share for the third quarter are projected to be in the range of $1 to $1.05. Full year 2011 adjusted diluted earnings per share are now projected to be in the range of $4.70 to $4.80. To arrive at GAAP earnings per share, you should subtract total charges for inventory step-up, certain claims and special items of $140 million to $150 million pretax or approximately $0.43 to $0.47 per share. Finally, please note that our guidance does not include any impact from potential acquisitions or other unforeseen events. David, I'll turn the call back over to you.
David Dvorak: Thank you, Jim. Zimmer's second quarter performance demonstrated continued progress against our strategic objectives and financial targets. Sales growth, together with disciplined management of the bottom line in capital deployment, enabled us to deliver value to our stockholders. Before opening the call to your questions, I'd like to take just a moment to recognize the entire global Zimmer team as we celebrate our 10th year as a publicly traded company. In August 2001, Zimmer was spun off from our former parent company. At that time, the company generated revenues of approximately $1 billion, with about 35% of sales generated outside of the Americas. Over the past decade, Zimmer's revenue has grown 4-fold and now over 45% of our sales are generated in international markets. While new product innovations and strategic acquisitions have contributed significantly to our emergence as a globally leader in musculoskeletal care, nothing has been more important or more appreciated than the hard work and dedication of our employees and our sales and distribution teams around the world. We want to thank our valued customers for the trust and confidence that they place in Zimmer technology every day to renew the lives of their patients. Building on a rich history, we're confident that the company is now more strongly positioned than ever to take advantage of the future opportunities for growth, offered by the exciting musculoskeletal care market. And now I'd like to ask Sarah to begin the Q&A portion of our call.
Operator: [Operator Instructions] Your first question comes from the line of Joanne Wuensch from BMO Capital Markets.
Joanne Wuensch - BMO Capital Markets U.S.: Could we get into the granular view of the hip and the knee market just a little bit more? I know a lot of people that we speak to thought that there was going to be a sort of a second half recovery, that there's a sense of pent-up demand. Is that the right way to be thinking about it? Or has this second half recovery now been moved to the first half of next year? Or are we going to offer something different? Is it just sort of a matter of at time -- at some stage, people will turn into the fold?
David Dvorak: Thanks for the question, Joanne. I think that going into the year the view, and the view that we communicated consistently was that we anticipated that the first half of the year was going to be a more difficult half of the year for growth purposes, primarily based upon the prior year comps. And then we saw a slowing down that hit the United States market particularly hard in the second half of 2010. So as we progress into the second half of 2010, although the economic climate hasn't changed in any material fashion to the positive, we do think that the growth rates could pick up maybe 100 to 200 basis points, largely due to the easing comps in the second half. Of course, we've been talking about it for a long time. This market slowdown is not permanent, this is not a normalized procedure growth rate that we're experiencing due to the macro economic conditions. These patients are deferring above normal levels from a time perspective and they're going to come back into the fold at some point, but that broader recovery is going to be dependent upon the macro economic conditions improving, Joanne.
Joanne Wuensch - BMO Capital Markets U.S.: And then just a second question, if I may. You're building a lot of cash in your balance sheet. Your debt-to-cap is particularly low. You're repurchasing shares. What else are we going to be doing with that cash?
James Crines: Sure, Joanne. This is Jim. From a capital deployment point of view, first we'd indicate that we intend to return up to 2/3 of our net income to stockholders on an annual basis through share repurchase programs. Secondly, when the right opportunity arises, we are also interested in acquisitions that fit with our focus on musculoskeletal health and have the potential to create value for our stockholders. We continue to apply rigorous discipline in our valuation of potential opportunities. Among other considerations, we'll examine accretion dilution in earnings and return on invested capital, with an expectation that transactions should be accretive in a reasonable period of time on both dimensions when compared with alternative uses of capital. The internal hurdle rates that we're applying can admittedly be tough to overcome, especially for larger-sized transaction. So our recently completed acquisitions, the Montagne Medical and the SoPlus line of power surgical equipment, make -- are good examples of the types of deals that both meet our criteria and align well with our focus on musculoskeletal health.
Operator: Our next question comes from the line of David Roman from Goldman Sachs.
David Roman - Goldman Sachs Group Inc.: I was hoping, Jim, you could go into a little bit more detail on the SG&A line, in particular in the concept of the structuring you announced earlier this year. From the comments on the call, it sounds as though the structuring is -- those savings are more gross, not net savings, and that a good portion of those proceeds are being reinvested into other growth markets. Is that the correct way now to look at it? That is not -- the $183 million number is not a net number?
James Crines: That is in part, David, the way to look at it. The savings reflected in our second quarter results from those programs were in line with our guidance of $40 million to $50 million to be realized in 2011. And while we're not yet at a run rate that will get us to $100 million in annualized savings, we still expect to hit that target by the end of the year. There is yet another issue impacting on ratios, though, that may not be as evidenced. We're seeing strong results out of our international markets, and the emerging international markets tend to have higher operating expense ratios. So the change in the mix of our revenues in the quarter put some pressure in our SG&A ratio compared with the second quarter of the prior year. That's something to keep in mind as well that wouldn't be quite as evident. Beyond 2011, while we've not provided target, we have indicated an expectation that SG&A as a percentage of revenue, should continue to trend down. The opportunity for leverage from revenue growth alone, assuming revenues can eventually get back to, and the market can eventually get back to, at least somewhere around mid-single-digit growth in procedures, is very meaningful for us. And then the efficiencies gained from the restructuring and transformation initiatives will provide an additional opportunity for improvement.
David Roman - Goldman Sachs Group Inc.: Okay. And then maybe just looking at the full year guidance. David, I think you had said that now you expect pricing to be down in the neighborhood of 1%, where I think it's been for the first half of the year. I think the first half is down 0.9%, and that compares to your previous guidance of down 1% to 2%. But you're overall lowering your full year total constant currency guidance. So that would imply on the volume side that things have, on the margin, gotten a tad worse from what you initially had contemplated. Can you maybe just sort of help us think about what's happening just on a volume -- sort of a volume perspective now, versus where things were at the beginning of the year? And what are your underlying assumptions from a macro perspective for the second half?
David Dvorak: Sure, David. I think that the most significant difference relative to expectations going to the year is the U.S. market. Procedure volumes are lower than what one might have thought. I do think that we're going to see an improvement in those volumes, at least on a comparison basis in the second half of the year. But to really get back to a normalized level, as I stated earlier in the call, we're going to have to see some stabilization or improvement in the economic conditions, including unemployment. So I think that the U.S. volume is probably the area that is most significantly different. I don't think that it's anything at all that's permanent within the market. I think that it is just an expression of the current economic conditions that we're living through.
David Roman - Goldman Sachs Group Inc.: And just to clarify that, have things gotten worse as you've gone through the year, or they just haven't gotten better to where things that are just sort of stable how?
David Dvorak: No. I think that they've been relatively consistent. Perhaps on a volume basis a bit better in the first quarter than parts of the second quarter, but I don't think you should read into that, that the second quarter's the beginning of a trend.
Operator: Your next question comes from the line of Derrick Sung from Sanford Bernstein.
Derrick Sung - Sanford C. Bernstein & Co., Inc.: I wanted to touch on your Asia-Pac results here, and 2 things related to that. First, last quarter, I think you communicated sort of an expectation that perhaps the Japan disaster might sort of 10% of revenues. I was wondering where you thought of that now, given what you've seen? And then secondly, with respect to the reimbursement -- anniversarying of the reimbursement pricing cuts in Japan, how much of that is embedded in the sales growth numbers that we're seeing? And it looks like still sort of Asia-Pac kind of slowed sequentially. So does that suggest that the sequential flow was even worse if we sort of take out the impact of the benefit of the reimbursement cuts?
James Crines: Yes, Derrick, this is Jim. First of all, with respect to Japan, our results for the second quarter were stronger than we anticipated. That market has bounced back in a pretty impressive way, relative to our expectations that we outlined in the prior call. And I would tell you that with respect to the full year guidance, we're still cautious as we project out for the balance of the year. And we understand that hospitals will continue to experience, particularly through the very hot summer months there, rolling blackouts. And that may have some impact on procedure volumes, particularly over the course of the summer months. So we're still somewhat cautious, I would say more optimistic than we outlined on the last call, but still a somewhat cautious view with respect to the balance of the year. As far as the pricing goes, as you pointed out, we anniversaried out of the step-down in pricing that went into effect in April of 2010. So you'll see when we file our Q and the detail that we provide, average selling prices were down a little over 3% in the first quarter. They'll be down still in the second quarter, but down under 1%. So that's in part what has led us to tighten the outlook on pricing for the full year, where we were saying coming into the year it would be at minus 1 to minus 2. We're now, obviously, forecasting an expectation that we'll be at minus 1% for the full year.
Derrick Sung - Sanford C. Bernstein & Co., Inc.: Okay. And one follow-up, if I could, on your Gel-One product and the upcoming launch there. That's a product that your partner, Seikagaku, got FDA approval on it in March. And I guess what I'm wondering is, what is the -- causing the delay in the launch timing of that product? Is it a supply issue? Is it -- does it have to do with IP issues, litigation surrounding the product? Or what's causing that delay? And what are your expectations for launch? And then also could you comment on the economics of that product. If anything, just -- is that -- will that net-net be a higher or lower margin product than sort of company average?
David Dvorak: Sure, Derrick. The work that we're doing since approval of the product is really production paced. So we weren't going to build quantities of inventory prior to that approval coming through. Seikagaku has immediately moved forward on production orders. And we're doing all the preparation work that we need to for a launch, looking at initiating that launch towards the end of this year. So while it won't have a significant impact in profitability or our revenue opportunities for 2011, we are excited about entering that space going forward. And I think that margin opportunity is consistent with our -- the rest of our orthobiologics businesses. So they're attractive margins, and this is a big new market that is a new category for us. So it's all offense once we launch that product and start generating the sales and we're excited about that opportunity.
Operator: Your next question comes from the line of Mike Weinstein from JPMorgan.
Michael Weinstein - JP Morgan Chase & Co: So David, I just want to get a better read on how you're thinking about the Americas business, in light of the slowdown from 1Q to 2Q and your guidance for third quarter in the back half of the year. So basically, what should we expect for Americas in 3Q? And what's embedded in that guidance?
David Dvorak: You should expect to see some improvement in the Americas' performance. And again, Mike, I do think that we start looking at the prior year comps in the second half of the year, and that really is the time period where the economic recession most impacted the U.S. business. Obviously, there's been a suppression of these procedure rates for the last couple of years, but we do think that a good number of people fell out of the insured pool as a consequence, no longer were able to access care in the second half of the year once the COBRA extension period ran out. So it had a profound effect on the second half of the year, most significantly our Q3 and the markets Q3 of 2010. So I think that you're going to see anywhere from 100 to 200 basis point step up in that market, if our projections are correct. Now all of this is premised upon, at least, an economic climate that doesn't worsen. And obviously, I think there will be an upside beyond that if it were to improve.
Michael Weinstein - JP Morgan Chase & Co: Okay. The European Hip business is the business that kind of stood out this quarter for sequential improvement. Can you maybe just explain that a bit more? There was -- and the acceleration was pretty noticeable?
David Dvorak: The acceleration in Europe that was most significant was Knees.
Michael Weinstein - JP Morgan Chase & Co: I meant to say, Knees, I apologize.
David Dvorak: Yes. Within our franchise. That's right. And I will tell you that part of that was timing because of success with tenders. But beyond that, we're doing a nice job of executing the sales of the NexGen Knee systems, as well as our other knee systems in that market. I think that that's a team that's really stabilized and gaining momentum in the marketplace, taking advantage of opportunities that they have within the marketplace. And I expect them to enhance their performance in the other product categories including hips going forward, Mike.
Operator: Our next question comes from the line of Adam Feinstein from Barclays Capital.
Daniel Sollof: This is Daniel in for Adam. A quick question, so as we think about hips, obviously you guys had some great momentum with continuum, exiting 2010 coming into 2011. It looks like the business, I guess a little bit this quarter, down 2% x FX, while I think your peers were actually relatively stable in the quarter. I just wanted to get -- I just wanted to know we should think about that. I mean, I know you guys obviously kind of came out in 4Q '09, so I guess we're 18 -- roughly 18 months kind of into the launch. So does that kind of help how we are in that cycle kind of contributes, I guess, maybe a little bit of slowdown there?
David Dvorak: It does contribute a bit just to it just because you have your initial mixed opportunities with your existing customer base. But I will tell you, we continue to be very optimistic about our prospects within the Hip category. We have a full portfolio at this point in time. We're doing well with these customizable solutions. We have differentiated technologies on both the stem and the cup side. So we expect to continue to outperform the market going forward.
Daniel Sollof: Okay. And then just -- I mean, that's helpful. And just looking at SG&A, I mean, you guys are tracking I guess, slightly above what was the guidance that you kind of, I guess ticked up today, it's about 41%. And then looking at what you said for 3Q, I think you said around 43%, if I heard you correctly. So I mean, just -- not to get too nitpicky, but would that assume kind of going below 40%, kind of towards 4Q at the end of the year to kind of get where your guidance is? Is my math correct there?
James Crines: Again, we have updated the guidance, as you pointed out. Now we're expecting SG&A to be at around 41% for the full year. And I would acknowledge that, yes, your math is correct.
Operator: Your next question comes from the line of Bob Hopkins Bank of America Merrill Lynch.
Robert Hopkins: So David, just to start with you and a little bit more on the success in Europe. Could you be specific on the tenders in Europe? How big were those, and how much did they contribute in the quarter?
David Dvorak: I'm not going to break that out, because it very much is normal course business in that market. That's how many jurisdictions operate, and that's the sales process, Bob. But I would tell you that we outperformed the market without the tenders or the unique tenders that were recorded in that quarter. So it's a good performance by our European team, irrespective of the tenders that we enjoyed in the quarter.
Robert Hopkins: Okay. And then just to follow up on the balance sheet and on the question of capital allocation. You guys are, as you mentioned, 70% the way through your -- what you assumed for this year. Astra Tech has kind of come and gone. I guess my question is, as we look to the back half, why wouldn't you be more aggressive with your buyback relative to the $500 million? And if you aren't more aggressive with the buyback, should we assume that there are other transactions potentially that could take place of a meaningful size? Just trying to get a better sense of priorities as we look at the rest of the year, given the balance sheet.
James Crines: As you pointed out, Bob -- this is Jim -- we were able to accelerate share repurchases in the first half relative to our guidance for the full year, which contemplates $500 million in total share repurchases for the year. But that guidance remains unchanged at this stage. As you know, and as we've disclosed in our periodic filings, approximately 3/4 of our cash and short-term investments are held in jurisdictions outside the U.S. and as we indicate, are expected to be indefinitely reinvested for use in our foreign operations. We certainly, as I pointed out, are interested in continuing to look for opportunities to grow our emerging businesses and opportunities to grow in emerging markets. I think we're seeing some of the benefit of those investments we've already made in both the emerging businesses and emerging markets. But again, we -- as opportunities, you can't predict when they'll hit, but we are active, and we'll continue to be active in looking for those opportunities.
Robert Hopkins: So is it really true then that you're less likely to buy back more than you've suggested this year, given that those opportunities are out there?
James Crines: As I said, at this stage the guidance is unchanged, and I think I'll just leave it at that.
Operator: Your next question comes from the line of David Lewis from Morgan Stanley.
David Lewis - Morgan Stanley: Just a couple of questions on SG&A, maybe one for Jim, one for David. Jim, just thinking about the third quarter guidance, at the low end of that earnings range, you put your earnings cyclicality versus historical years just for the lower end of the third quarter range. You talked about the SG&A spending. Maybe just talk about your confidence that SG&A spending in the third quarter is more discrete. And you also mentioned emerging markets' selling costs being higher. A lot of other global med tech companies believe that selling costs and emerging markets can actually be lower. So if you could just talk us through those dynamics.
James Crines: Sure. And again, as we pointed out -- we went through this last year as well. The increase in the ratio in the third quarter, really is a function of seasonality. We had significant market share in markets -- particularly in markets outside the U.S. where there are extended -- surgeons, patients taking extended holidays and so there's very significant slowdown in surgical procedures over the course of the summer holidays. And we have a certain amount of our SG&A expenses that, as you understand, are fixed. And so we end up with a higher ratio. It's not really a function of increasing the level of discrete spending in the third quarter relative to the first half of the year. Now with regard to the emerging markets, it's really, in our case, a function of just the stage of their development. We're early, if you will, in investing and to build out the principally direct sales channels in those markets. And I think it's given -- again, the stage of their development that leads us to have higher selling, higher operating expenses in the near term. Over time we're going to be able to bring those operating expenses down as we achieve more critical mass in those markets, if we continue to see growth in revenues at the level we're currently seeing, and in some cases, continue to take market share.
David Lewis - Morgan Stanley: Very helpful. And David, just a quick question, SG&A, but more from a strategic perspective. Zimmer's been in a pretty enviable position the last several quarters with less exposure to metal-on-metal, and obviously custom knee solutions that others have not had. As some of those others competitors lap those metal-on-metal issues and we see some custom knee relievement for some of those other competitors, are you confident that your existing levels of spending will allow you to kind of maintain share or slightly gain share as the other competitors get a little stronger here over the next 2 to 3 quarters?
David Dvorak: We are comfortable. We have detailed plans as to some of the things that we want to do. And in instances, that means re-purposing some of those SG&A dollars. And so we have very active programs. We refer to those as the transformation initiatives. And that's allowing us to drop some of that money to the bottom line. Increasingly, we'll be able to do that as the procedure rates pick back up. But in the meantime, it's been a great funding mechanism to do things that we need to, to make investments in the sales channel on hand on the marketing side. So I think we're well positioned to be able to fund that and continue to improve the ratio notwithstanding those funding needs.
Operator: Our next question comes from the line of Matt Miksic from Piper Jaffray.
Matthew Miksic - Piper Jaffray Companies: Just a follow up here on price. Some of the price trends you're seeing, I'd love it if you could expand a little on the dynamic you're seeing in the marketplace. It's about 1% to 2% it looks like in Hips and Knees negative, which I assume, as it's been over the past 2, 3 years, is an aggregate of some contracts being reset significantly lower. And then some contracts kind of flatter potentially up, we would hope. But do you get a sense that most of the big low-hanging fruit has been picked here in terms of big downward adjustments in price, and we're kind of getting into a stage where maybe adjustments are smaller? Any color would be great and I have a follow up.
James Crines: Sure, Matt. This is Jim. I think we have said in the past how the compression of average selling prices, particularly in the U.S. market, would continue to play out over the course of this year, protect at some level, even carry over into next year, although were not going to be providing guidance on pricing for next year at this stage. But at some point, it would -- we'd expect it would begin to moderate to the extent that it is just what we described. It's accounts that find their high end of the price curve relative to our mean average selling prices are requesting or demanding an adjustment. We're working through that. We continue to work through that. I think it is -- I think we're comfortable still, with the statements we've made in the past in this regard. And particularly, when you look at the trends, on a global basis, over the past several quarters, if you go back for example to the third quarter of last year, average selling prices for Hips and Knees were down between 2% and 2.5%. That's a step down a little bit in the fourth quarter, step down again. In terms of erosion not being as severe, so it's right around 2% in the fourth quarter. It was under 2% in the first quarter, at least in Knees, and right now 2% in Hips. And here we are in the second quarter, and it's under 2% for both Knees and Hips. So we would and that's how this is being managed. We would expect that as we begin to anniversary out of some of those big adjustments, particularly in some of the larger accounts in the U.S., that the price pressure that we've been experiencing would moderate.
Matthew Miksic - Piper Jaffray Companies: Great. And then one follow-up here on Dental, just very impressive results again this quarter. Just wondering if you could give us a sense of within that growth rate, where things like implants are growing? Or to what degree some of the new products or biologics are driving that growth?
James Crines: Sure. So as we pointed out, the growth rate that we're reporting this quarter and last quarter as well includes the benefits of having changed the distribution arrangement with respect to Puros and CopiOs regenerative product. That's accounting for about 7 points of the 15.5% growth that we're reporting. So you take that out, and you get a sense of what's happening with the balance of the portfolio, including implants.
Matthew Miksic - Piper Jaffray Companies: So that 7%, you think, is good representative number roughly for where your implant business is growing?
James Crines: I think it is representative of where the balance of that portfolio is growing, yes.
Operator: Our next question comes from the line of Charles Chon from Stifel, Nicolaus.
Charles Chon - Stifel, Nicolaus & Co., Inc.: I just wanted to transition focus to some of the non-large joint recon business like Trauma and Extremities. So these accelerating trends that we're seeing here, as we think about these businesses going forward, are there product assets Zimmer needs to fill, or it's a matter of just building out better distribution, in terms of gaining better visibility, in terms of growth profile for these businesses?
David Dvorak: Charlie, in the case of Trauma, we feel like we have at this point most of the major pieces that we need. There, of course, are always going to be other anatomical sites that we can better address or provide innovative solutions with respect to. But the big leg of the stool that we needed to address historically, had been say, over the last 5 years had been the intramedullary nail line. And Zimmer Natural Nail, with all the different anatomical sites antegrade, retrograde, cephalomedullary nail, tibial nail is fully launched at this point in time. And then as well, the differentiated NCB Periprosthetic plating system, those are products that are making a big difference for us. And we're doing a nice job of taking advantage of the unique anatomical features of the nail. But more broadly, it allows us to penetrate accounts that were difficult for us to penetrate, particularly the Level 1 and Level 2 Trauma centers. So we're going to continue on, we're concurrently investing more in research and development, at the same time that we're investing the strength in our distribution channel, and we think that we're going to be able to create a lot of value by doing so at this point in time. Now going forward, we'll continue to innovate internally, and to the extent that there are external development opportunities that would augment what we already have and be complementary or fill in some spots that we aren't as competitive currently, we go ahead and pursue those transactions at the same time. So we're really optimistic about what we have going on with our Trauma business and are very positive about what kind of growth we can generate in the future in our ability to take some market share and gain more and more critical mass through that process.
Charles Chon - Stifel, Nicolaus & Co., Inc.: Great. So in terms of the transaction-related growth, can you do that without disrupting your leverage goals here?
David Dvorak: Yes. And I think that in the case of the business like Trauma, it's most apt to be product line acquisition, technology acquisition, innovation. And the answer is, absolutely, we can do that without disrupting anything else that we need to achieve in the way of value creation.
Charles Chon - Stifel, Nicolaus & Co., Inc.: And that brings me to my second question, which is the company has done a great job achieving relative outperformance throughout 2011 so far. As we look beyond the second half of 2011 into 2012, we annualize the benefit from the transition away from metal-on-metal and Hips or the benefit of new instrumentation in Knees. Without any just specific targets for 2012, can you provide a little more granularity on the specific growth drivers that we can point to that would help the company maintain the momentum that it's been able to achieve here in 2011?
David Dvorak: Sure, Charlie. We're very excited about the future beyond 2011 and the back half. I think that we're positioned in the company very well for that future. At some point in time, these procedure deferral rates are going to wash out, and these patients that have been putting off the procedures are going to come back into the fold. There's going to be a boost in the procedure rate. And it's going to very positively affect big markets like the United States market. And we're preparing for that day, let alone the demographic drivers with the Asian population in all jurisdictions around the world. And we believe are providing the most innovative portfolio with respect to personalization of these implants on the large joint reconstruction site. So acetabular cups, such as the Continuum, our stems on the Hips side, with M/L Taper and Kinectiv Technology being incorporated into other stems as well as our patient-specific instruments, are all examples of the personalized approach that we're taking to these implants and differentiated solutions with great political benefits. And then beyond that core aspect of our business, we're very optimistic about our ability to continue to grow in areas like the one we were just talking about, Trauma and our emerging businesses. You can see what we're doing in Trauma. You can see what we're doing in Dental. You can see what we've been doing in surgical for the last many quarters as well. The third prong of growth is really going to come from the emerging markets. And our OUS performance in this quarter is indicative of the kind of growth we think we can generate with intelligent investments to exploit those emerging market opportunities, coupled with good solid execution of our sales and marketing efforts in the developed markets, OUS. So again, large joint reconstruction with personalized solutions, leveraging our market share position and our brand in that space and then getting after the emerging businesses, as well as the emerging markets.
Operator: Your next question comes from the line of Kristen Stewart from Deutsche Bank.
Kristen Stewart - Deutsche Bank AG: I was wondering if we could just touch back around on pricing trends. You had mentioned that price is down, I think it was 90 basis points in this quarter, or it was just similar to the last quarter, But then you also commented, obviously, that Asia-Pacific was a lot better due to the anniversarying of Japan, I think it was down 3% versus 1% this quarter. So clearly, it looks like the pricing trends got worse either in the Americas or Europe. So could you maybe just review with us just kind of the sequential pricing for the markets geographically?
David Dvorak: Sure, Kristen. This is David. I think that you're correct, that it did improve in Asia-Pacific due to the anniversarying out of the Japan price cuts. And it did get marginally worse in the Americas, going from negative 1.3 in Q1 to negative 1.6 in 2Q. But that negative 1.6 is something that we've seen over the course of the 1.5 years. We had a negative 1.6 in Q3 of 2010. I think that the context that one really has to look at is pricing because again, on a global basis, we've been in a pretty tight band as a company, ranging, I don't know, maybe 700 basis points from negative 0.7 to negative 1.4 over the last 1.5 years or more. And for the last 4 quarters now, our global pricing has been either negative 1 or negative 0.9. So again, it's a tight band and relative to conversations that we had around this topic going back sometime when people were fearful that negative 1 was going to become negative 5 or 10, we're just not seeing that. We haven't seen it for a couple of years that we've been talking about it. So I think we're doing a nice job of managing these conditions. As Jim said, we don't think that the pressure in the U.S. is a forever thing. And we do think it'll moderate as we -- if the price compression plays out and we work our way back to a less distributed curve with respect to pricing and our regression back to the mean. But over the last many quarters now, we've been in a pretty tight band on a global basis with respect to pricing.
Kristen Stewart - Deutsche Bank AG: And do you just the European number of that?
David Dvorak: Sure. The European number was positive 1.2 in the first quarter and positive 0.6 in the second quarter.
Kristen Stewart - Deutsche Bank AG: Okay. And then, just with respect to the kind of SG&A line, do you guys have -- or are you thinking about just kind of changing kind of the distribution model? I know you use independent distribution. I'm just wondering if you're reconsidering perhaps moving more to a direct sales model and/or perhaps cutting some of the rates that you pay to these independent distributors in the U.S. to help offset some of these pricing and perhaps mix trends.
David Dvorak: Well, we've done some forward acquisitions with distributors outside the United States markets. And that's been consistent with our strategic plan. We've executed those transactions well. And the transitions have gone well from an integration standpoint also, so it's very much market-dependent. There are instances where we use independent distributors, and we're moving towards such as those OUS markets going direct through the acquisitions. There are other instances where we have hybrid models. And it's very situation-dependent in our case. With respect to the compensation, I think that the adjustments that we've made over the last couple of operating periods is to drive those commission rates to be more performance-based. And I think that that's a path that we'll continue to go down or sustain.
Kristen Stewart - Deutsche Bank AG: And then just the total sales number, or gross number, if you were to x out some of these acquisitions from distributors and whatnot. What would be an acquisition's more normalized organic growth rate, if you will, for the company?
David Dvorak: Those acquisitions aren't material relative to our overall sales, Kristen.
Operator: Your next question comes from the line of Larry Biegelsen from Wells Fargo Securities.
Larry Biegelsen - Wells Fargo Securities, LLC: Starting with the gross margin, do you still expect the 90 basis point headwind from FX in 2011? And should we expect to see that reverse in 2012?
James Crines: Larry, this is Jim. We do actually -- I think the headwind related to the hedge loss is probably a little bit higher even than the 90 basis points, just given what we saw over the course of the last quarter and the relative weakness in the U.S. dollar going now into the second half of the year. And then we would -- and again, we're only talking about hedges, we're not providing guidance on gross margin for 2012. There are a lot of other things that can factor on gross margin, but we would expect those hedge losses to moderate as we get into 2012.
Larry Biegelsen - Wells Fargo Securities, LLC: And then on the -- do you still expect the knee market to grow in the second half of 2011? I think that was what you said on the last call.
James Crines: Sure. But I think if you look at where we are at this stage in the first half of the year, estimates are coming in at around minus 1% for the knee market globally, down a little more in the U.S. than outside the U.S. We -- as we indicated, if nothing else as a result of easing comps, we'd expect to see the market growth rate improve anywhere from 100 to 200 basis points in the second half of the year.
Larry Biegelsen - Wells Fargo Securities, LLC: Guys, lastly, on Gel-One, do you think it's possible that, that could have a positive halo effect on your knee implant business?
James Crines: I think we talked about this a little bit in the past, before entering into the transaction with Seikagaku, we canvassed our surgeons, getting an understanding of whether or not they prescribed HA and found that, in fact most, if not many of them do, and our partners who are more focused on sports medicine do as well. So this represents a really exciting opportunity for us. And it's going to impact our results and the opportunities we have to further build out our relationship with our current customer base and hopefully some new customers as well in a very meaningful way.
Operator: Our next question is from the line of Raj Denhoy from Jefferies.
Raj Denhoy - Jefferies & Company, Inc.: I wonder if I could ask a little about the U.S. pricing dynamic. I appreciate your comments about sort of heterogeneity you're seeing that market with the larger accounts maybe extract a little bit more price. Could you maybe talk about how you could cut that in other ways? And are you seeing more pricing out of accounts that maybe have of a higher proportion of surgeon employees as opposed to ones that are kind of in the more traditional model?
David Dvorak: We really haven't seen that dynamic. It's been just an assortment of circumstances and the volume of the account, the service levels within those accounts. It's varied from private practice groups to surgeons that are employed by the hospital systems, the larger networks. So it's been business as usual, and just a lot of focus on that topic, obviously, on both sides of the table.
Raj Denhoy - Jefferies & Company, Inc.: Okay. Maybe I could ask again just a little bit about the U.S. recon market as well. First on the knee side, a bit surprising that the market remains fairly weak particularly in light of the launch of the custom cutting blocks from you and pretty much every large joint company out there. But why have we not seen an impact of those in numbers yet? Is it still early? Does is it speak to surgeon receptivity of those products?
David Dvorak: I think the point that you make made, Raj, is the right one. It's just there is opportunity on those launches, but it's in the headwind of a more significant procedural slow down on a year-over-year basis. And so that's the challenge, and it's not going to be a forever thing. And we really believe that even in the second half of the year, we're going to start anniversarying out of the slowdown. That doesn't mean that the procedure rates will become normalized, but I think that the growth opportunity of the customized solutions -- or customizable solutions is just a bit massed the overarching economic conditions that are driving the procedure rates.
Raj Denhoy - Jefferies & Company, Inc.: Okay. And then just lastly, on that comment about easing comps in the back half. And I appreciate that the Knee comp, you guys, does ease. But the Hip comp actually gets harder into the fourth quarter, and you posted a 7% number in the fourth quarter. So maybe you could explain more why you're expecting a resumption in growth in that business against harder comps in the back half.
David Dvorak: Yes. I think that the analysis that we've done is you have the extension of COBRA that ran out in the May 2010 time period. And at that point in time due to the employment rates, you can do the math and end up extracting some 5 million patients from the potential pool. The enrollment rates within the private insurance world declined, and you can track those statistics as well. And so we see that biting in a more significant way in the second half of last year. So -- and you're going to get some dynamics in the fourth quarter always, because of the end of the year and the decision to move forward procedures, the extent people have met their deductibles for the year, et cetera. But we do think that there's going to be a positive impact. And it maybe more profound in Q3 than in Q4, but we think that the second half will show improvement.
James Crines: And a comment, Raj. It's really directs our expectations with respect to market growth for the second half. And if the market's up, we would expect to benefit from that.
Operator: Your last question comes from the line of Rick Wise from Leerink Swann.
Frederick Wise - Leerink Swann LLC: Let me touch on just a couple of smaller points on the P&L. R&D, can you help us think through R&D directionally. You talked, I think, last quarter about moving up to 5% to 6% range. And you've been at the low end for the first couple of quarters. And when I look back at just the dollars spent, you've sort of been at the $56 million, $57 million level for the last 4 quarters now, sequentially. Just do you know -- how do we think about the range? How do we think about the dollars, particularly in the second half? And maybe just give us some of your thoughts about where spending's going, up or down and where?
James Crines: Sure. Rick, this is Jim. As you rightly pointed out, we we're coming out into the year talking about an expectation that it could work its way up towards the higher end of the range over the course of the year. I would tell you at this point, particularly given the sort of the pressure we've talked about that we're seeing on SG&A and part of a function of different mix of revenues, that spending is -- it's certainly going to keep pace -- the increase in spending in R&D is certainly going to keep pace with growth and revenue. But at this stage, I would tell you likely now for the full year to be in a range of 5% to 5.5%, as opposed to 5% to 6% for the full year.
Frederick Wise - Leerink Swann LLC: So we will -- the dollars will go up in the second half, is what you're saying?
James Crines: That is the expectation, yes.
Frederick Wise - Leerink Swann LLC: Yes. And then just one last quick one on tax rate for the year. I think you said around 27%. You were a shade below that in the first quarter -- maybe in first half of the shade below that if I look at the first and second quarter. Are we still at 27% for the year?
James Crines: We are.
David Dvorak: I'd like to thank everyone for joining the call today and for your continued support for Zimmer. We look forward to speaking to you on our third quarter conference call at 8 a.m. on October 27, 2011. With that, I'll turn the call back to you Sarah.
Operator: Thank you again for participating in today's conference call. You may now disconnect.